Amanda Taselaar: Hello there. Welcome to the Kahoot! Group Earnings Webcast for the Third Quarter of 2022. I'm Amanda Taselaar from Kahoot!, and I will be your moderator today. We are excited to be here with you to give you updates on our progress here at Kahoot!. We will start by giving you an introduction and then we will proceed to discuss Kahoot!'s financial and operational highlights from Q3. At the end of our presentation, we will take some questions from the Q&A, so please feel free to share your questions as we move through. Today we have with us here Eilert Hanoa, CEO of Kahoot!; and Ken Ostreng, CFO of Kahoot!. I will now pass it off to Eilert to get us started. Over to you Eilert. 
Eilert Hanoa: Thank you, Amanda, and good morning and good afternoon everyone. Thank you for taking part in this third quarter presentation and Q&A. We appreciate that and look forward to taking you through a very good quarter and share some of the highlights. First off, let's cover the basis. Kahoot! is a generally purpose driven company. By making learning awesome, we want to help make the world a better place by ensuring inclusive and equitable quality education and making education and learning accessible around the world. Driven by our values and our purpose, we are on the mission to improve lifelong learning by building the leading, learning and engagement platform in the world. We are honored to be recognized by the Fast Company, naming us in the 2022 Brands That Matter list. This recognition highlights our company as one that's breaking through the noise impacting culture and business. Whether it's in the classroom, a boardroom or a living room, Kahoot! is a universal learning and engagement solution. Following from this, we also are thrilled to see that Clever and Kahoot! both ranked, respectively third and fourth as the most used EdTech apps in the US for K-12 school district overview. It is extremely motivating and rewarding for us to see that our products make an everyday life difference among school admins, educators and most importantly students, while offering them a safe and engaging learning experience in the classroom. It is helpful to understand the origin of the company and where we're coming from to see the longer term trajectory that we are on that drives us forward continuously. In first phase where the company found its foothold and established the services to markets where we had a fantastic founding team, really cracking on the brand, the logo, the music and the whole inspiration for the user experience. Then based on this, we developed a well-known multiple-choice quiz, which became massively popular and still is. And then from 2018, we kicked off the first commercial offering in its early versions and expanded our scope, including in this phase more developed offering also for enterprise sector. And as you know over the last couple of years we have been completing our strategic acquisitions to build out a learning platform with wider offerings and into adjacent segments where we are now we have much more scale broader and deeper offerings in both learning and engagement and more significant footprint amongst professional users and the corporate market, a more synergetic platform including Clever in the US. So the journey we're on is to build the leading, learning and engagement platform in the world. That's what we focus on every single day across all our units in the Kahoot! Group. In essence through our diverse offering we are at the intersection of learning and audience engagement needs across key verticals and business areas shown here on the screen. There is important common ground that support us across these, a unique position and a global love brand universally relevant for different segments. The Kahoot! proposition is largely one unified platform where the engineering and R&D were put into this provides an ever improved offering to many different users in different segments. And this provides a real platform value, very versatile in usage and relevant in many learning contexts. After significant investments in our product suites also in the third quarter, we are increasingly running a highly diversified business with potential to continue to grow strongly across multiple segments, including K-12 and higher ed in school, the corporate and enterprise sector for personal use at home, as well as the emerging area of content for all the segments mentioned. In understanding Kahoot!'s business it's also important to understand that our vastly different user represents different commercial potential. That's why we've been focusing in this third quarter, as well as earlier this year to adjust and improve our business models for each of these segments. And you can see here on the screen, how this can also better yield commercial return going forward. And we will continue to do that as we have not yet really realized anywhere close to the full potential of this scalable platform with the ecosystem and the business models we have on top. With our key growth levers, I believe we have several ways to continue a strong growth trajectory going forward. First of all, it's important to recognize that Kahoot! unlike many others are not primarily dependent on external sources for growth like paid marketing. In the third quarter, we saw continued substantive growth in viral non-marketing led usage on the platform. The most important growth lever in the Kahoot! story is the product itself, which with its user experience and engagement create the basis for monetization. Secondly, our world-leading Kahoot! love brand, which is globally known and respected across audiences, verticals and geos. And thirdly, our strongly scalable platform with hundreds of millions of users situated inside the ecosystem of global partner brands and user and partner generated content with low operational cost and higher gross margin. And I think we demonstrated the leverage of this model very well in the last couple of quarters, especially in the third quarter where effective unit economics show steadily more as we grow our top line. And this is the basis for our sustainable and profitable growth engine, which again constitutes a basic for investments in R&D and better products and user experience in every cycle and of course for new growth initiatives as well. Over time, I really believe that this is the ultimate differentiator, the constant product improvement innovation that will continue to drive conversion and new paying customers also in the future. So let's switch gears to the third quarter numbers. We are pleased to share our results for the quarter, which was another solid quarter from the Kahoot!'s Group in the changing macro environment. First off, our invoiced revenue grew approximately 94% to $53.9 million. Our adjusted EBITDA also grew to 35% year-on-year with our scalable operating platform delivered a record high operational cash flow of $16 million, which is an increase of over 100% year-on-year, and Ken will cover this more in detail later. During the third quarter we continued our longer track record of adding quarterly net new subscriptions, with minimal customer acquisition cost due to our viral model as the main driver. And paid subscription grew approximately 23% year-on-year, with a net increase of 40K from the previous quarter and which -- of which 20K come in on the core Kahoot! platform. Paid subscriptions for at Work segment, grew approximately 26% year-over-year and at School segment around 27% year-on-year. And dollar retention for our top 50 key enterprise and school and district accounts, remained solid at 125%. And we will hear more about some of the latest development among our customer segments in the next slides. So, let's just have a look at what is behind these top-level numbers. The demand across our customer categories remain solid in the third quarter, and broadly in line with our expectations. There was a continued healthy momentum in engagement and usage conversion and sales to professional users, particularly in the corporate sector. Also our assisted sales pipeline of upcoming deals continue to grow steadily in the third quarter, and we generally see a solid outlook amongst professional users segments in the quarters to come. But also the third quarter came with significant volatility, as we all know. Pressure from inflation interest rate and looming recession in many markets, led to more uncertainty. And last, but not least, we should not of course -- not forget that the comparison with a solid third quarter last year, being heavily impacted by the pandemic and open up for back-to-school and of course, also after global lockdowns. In the third quarter, we also celebrated one year since the inclusion of Clever in the group. We are pleased to see Clever delivering according to plan, both on the strategic and financial goals, including signing new application partners, increasing usage and starting their international expansion with Canada as the first new market. Our product engineers and designers, which constitute half of our total workforce have been working relentlessly, also in the third quarter to develop a strong lineup of new value-added features and products that will come to market in the coming months and provide an even better foundation for growth going forward. Looking ahead, we saw very good uptake from assisted sales and we see larger opportunities and a good momentum in the third quarter, that we believe will come to fruition in the months to come, but due to macro uncertainty, we have also seen somewhat slower decision-making processes. Meaning, that we had to adjust a bit on the expected conversion in the fourth quarter. Whilst the short-term visibility is naturally impacted by the current macro conditions, we still expect Q4 to be a solid quarter, with good organic growth over last year and we remain fully committed also to our mid and long-term ambitions. So in the third quarter, we had a good momentum with our customers. Let's see what's happening across some of our new and existing customers, and Q3 was particularly encouraging quarter looking at, how our enterprise segment customers with expansion both in usage in different industry verticals and in geos. And more importantly, we see expanded user case meaning that our steadily larger users groups inside these companies of learning solutions, are being adopted by key accounts both new and existing for new purposes and also for expanded use. In most cases, these are all inbound inquiries, that we follow up on and gradually internal viral spread from single users or in certain departments, to wider users or even spread across the whole organization. So let me conclude. Fundamentally, digital learning continues to grow and the re-platforming of education and learning across work, school and home is set to continue. The importance of engaging learning solutions full suites of learning applications, that can be in the hands of a teacher, a presenter or a corporation is more important than ever. The ability to build corporate learning tools, that can be used without infrastructure upfront investment CapEx or consultants to be able to instantly get a better momentum, can be both delivered on the Kahoot! 360 platform but also with Actimo and Motimate solutions. It is a platform for schools, where Clever plays a key role in K-12 US, and of course our premium content offering with Academy Marketplace and our great partnerships with both content and tech partners. These are the four areas, where all our investments are put into action in the coming quarters and we believe that the some of these parts for both home, school and work are really the most important for us to be able to continue to fine-tune the business models for a vast variety of users and customers we have. These all represents different commercial potential, and we have still a lot of opportunities to maximize return and this is somewhat -- something we really continue to focus on. I will now hand over to our CFO, Ken, who will take us through the details of our third quarter number. Ken? 
Ken Ostreng: Thanks, Eilert and good afternoon, everyone. I'm very pleased to take you through a solid third quarter of 2022. As you'll see across our commercial metrics and growth KPIs, we have a robust development in the third quarter. We had all-time high revenues in the third quarter of $36.6 million that's up 55% year-on-year and deriving from Kahoot! recurring revenue business model, annual recurring revenue increased $149 million by the end of the third quarter. Another of our key indicators is invoiced revenue or billings, which reached $53.9 million in the third quarter and that is up 94% year-on-year, just shy of our guidance for the quarter impacted by the strengthening of the US dollar during the third quarter. Looking at invoiced revenue excluding Clever in the third quarter, we came in at $24.9 million, up 13% year-on-year. And the scalability in the Kahoot! business model is visualized by the positive development on adjusted EBITDA, with continued year-on-year increase, up 35% from the third quarter last year. The underlying operational cost base for the total group was in line with the second quarter measured on stable currency exchange rates. We managed the high season back-to-school volumes on a consistent quarter-over-quarter operating cost, demonstrating the leverage in our scalable business model and increasingly effective unit economics and profitable growth. Our operational cost base includes infrastructure cost for both free, and paid users so the cost for converting free to paid users is marginal. As part of our strategic priorities, we focus a large part of our resources on R&D and product which is seen by more than half our FTE base being dedicated to product and engineering continually improving Kahoot! products and user experience. This is included in our fully-loaded operating cost base. The growth in the paid subscriptions continued and reached at 1.25 million across all services in the third quarter, that is up 23% year-on-year and 26% year-on-year for our professional users in the Work and School category. The organic increase in paid subscriptions in the quarter was 40,000 whereof 20,000 on the core Kahoot! platform. For the end of the third quarter, we reached 550,000 paid subscriptions within the Work category and 425,000 within the School category a solid basis for offering further premium services. Cash flow from our underlying operations exceeded $16 million in the quarter, up 117% year-on-year. Our CapEx is marginal and not leading our operational cash flow and we now have 12 consecutive quarters of positive cash flow from operations. We have a solid cash position of $87 million and no interesting bearing debt. We saw a continued solid usage on the Kahoot! platform post-pandemic we had a 47% year-on-year growth in active accounts for the Work category and a total of 26.7 million active accounts last 12 months including school and personal users. In the third quarter, we had continued strong year-on-year growth in both invoiced revenue adjusted EBITDA and cash flow from operations as the third quarter was a record quarter for Kahoot!. And the solid financial development across these metrics is further visualized by looking at the last 12-month development for the end of the third quarter this year compared to the reported last 12-month period by the end of the third quarter a year ago. The development outlined on the previous slide is even further visualized when we look at the strong development in number of paid subscriptions over the past three years. Part of the year-on-year increase in paid subscriptions is from approximately one million to 1.25 million. The core Kahoot! platform accounted for 145,000 of the year-over-year growth and that was fueled by organic inbound traffic and automated no-touch sales. From year-to-date invoiced revenue development compared to previous years, you see that we have an increasing share of revenue from the US and Canada representing 67% of invoiced revenue in the first nine months this year and expect it to continue to be the biggest revenue region going forward as well. The continued growth in the number of paid subscriptions on the core Kahoot! platform is visualized by the increased conversion ratio of free to paid users with marginal customer acquisition cost. For the professional users defined here as the Work and School category, we have over the past three years almost tripled the conversion ratio, while the active users which is the basis for the conversion in the same period has increased by 68%. The fourth quarter operating run rate, which lies the scalability of the Kahoot! operating model. As you can see in the graphic, we have operating model leverage with a modest quarter-on-quarter growth of the operational cost base and this comes through low customer acquisition cost by conversion of existing free users to paid subscribers. We have a scalable platform supporting all customer categories globally with infrastructure cost for both free and paid users included in the current cost base and we have a capital-light business model. It's minimal CapEx required to support the scale of the operations. And looking at the last 12 months, we've invoiced all the clients $165 million with an operational cost base of $114 million. The corresponding reported numbers for the prior 12-month period was invoiced revenue of $85 million and a cost base of approximately $56 million. So moving over to our operating cash flow, we have on this slide visualized our billing to cash flow bridge for the quarter and our invoicing of $54 million in the quarter was $25 million higher than the $29 million operational cost base for the quarter whereof $16 million out of the $25 million materialized in cash flow, and the majority of the remaining $9 million they are increased Clever receivables due to higher volume and billing seasonality within the quarter and the timing of payment. So over the past 12 months, our invoicing of $165 million was approximately $50 million higher than the operational cost base whereof $39 million have materialized in cash flow for the period. So based on what we've shared today, we have updated our guidance for 2022 and for the fourth quarter 2022 invoiced revenue is expected in the range between $50 million to $55 million, representing a 26% to 38% year-on-year growth with solid cash flow from operations. For the full year, the updated guidance include invoiced revenue in the range of $175 million to $180 million with recognized revenue of approx $147 million and adjusted cash flow from operations exceeding $40 million. And the revised guidance for the remainder of 2022, reflects the current macro conditions. So moving on to our long-term ambitions, which is to exceed $500 million in invoiced revenue in 2025 whereof approx a third comes from Kahoot! at Work, a third expected from Kahoot! at School including Clever, and a third from Kahoot! at Home and Study including Kahoot! Academy and Marketplace. The operational cost base over the period expected to be converged to approx 60% of invoiced revenue which indicates approx 40% cash conversion of invoiced revenue in 2025, and we have now in the third quarter demonstrated a solid path for this. The financial ambitions outlined they do not depend on any material acquisitions in the period. And by that, I'll hand over back to Eilert. 
Eilert Hanoa: Thank you, Ken. To wrap up, across our five business areas and three main revenue segments, we have a solid mission and a good plan to succeed. In a perspective over the next three years and beyond, we are confident we will see continued strong growth and cash conversion. And importantly, our strategy consists of several tracks to ensure we can reach our goals commercially and financially in a changing environment. We have several growth levers. We have large growing terms. We have a highly scalable cash generative business and a good unit economics that will continue to yield steadily stronger results as we continue to grow over the next quarters and years. And we have a clear visibility to the growth path in all our business areas. We are really looking forward to coming back to you regarding our priorities for 2023, as a part of our Q4 presentation. Ending today's presentation, I just want to summarize with some of the fundamental attributes of Kahoot!. The global recognized brands, the scalable cloud platform, the experienced organization with a growth track, the growth we have inside our business model both on scale and cash, the continuously improving -- all services we offer to all segments and users both free and pay in every cycle. And last but not least a solid financial position for strategic partnership and non-organic growth. With that, I thank you very much for attending our Q3 presentation and I hand it back to Amanda for the Q&A session. 
A - Amanda Taselaar: Thank you, Eilert and thank you, Ken. We are now ready to move to the Q&A for the final section of the presentation. We have received many questions in the Q&A. And we thank you for those. We will start with the following topic that has been raised by several participants. So Eilert, this is for you what impact on your business have you seen from the worsening economic environment? 
Eilert Hanoa: Thank you, Amanda. So I think on a high level and also taking into consideration that we are on track with our guidance for the first three quarters this year, we have seen that so far we have been progressing broadly in line with our expectations that includes everything from number of transactions customers activity on the platform. There is no doubt that macro impacted to some degree and we also as mentioned already see somewhat slower decision-making on some of the deals which is also why we have taken that into consideration to the Q4 guiding. And however, a strong and also growing pipeline both in value and opportunities are also on our roadmap in the sense that that's what's we also see happening. So all-in-all, we are fairly optimistic when it comes to the 2023 and the mid-long term growth opportunities as we have gone through when it comes to plans as you can see in the attached slides in our presentation today. But we also need to be cautious about the fourth quarter as we have now adjusted, but with a flexible business model that can go from anything from single transactions up to large corporations to home, school and work to every market in the world and in many languages that are the main languages used on the platform. We really believe that we have this ability to adjust both our offerings or repositioning of our resources and the value for the customer groups or segments that are most willing to pay to get that user experience in a good way going forward. 
Amanda Taselaar: Thank you, Eilert. This next question is for Ken. It is from Lars Devold from Kepler Cheuvreux. How much were your operating expenses helped this quarter by the weaker NOK? What would quarter-on-quarter growth in operating expenses have been with a stable USD-NOK exchange rate? 
Ken Ostreng: All right. so – thanks Amanda. So I would say in broad terms the strengthening of dollar in the third quarter compared to previous quarter impacted a nominal revenue and operating expenses for the quarter as a group has multicurrency revenue and cost items. On the revenue side in terms of our billing, approx 15% of our total invoiced revenue for the quarter or about $8 million they are invoiced in other currencies than US dollars. When it comes to underlying operational cost base in the third quarter I would say that was in line with the second quarter measured on stable currency exchange rates. 
Amanda Taselaar: Thank you, Ken. I have another question for you from Hakon Fuglu from SEB. What is the quarter-over-quarter invoiced revenues growth adjusted for currency effects? 
Ken Ostreng: So I would just say that in broad terms the nominal figures on the revenue side were impacted by the stronger dollar. So in terms of our billings approximately 15% of the billings in the quarter they are in non-US dollars so that was roughly $8 million that were impacted by the stronger dollar in the third quarter compared to the second quarter. 
Amanda Taselaar: Thank you for that information. Ken, this is another question from the Q&A. Given your guidance for invoiced revenue of $175 million to $180 million, and operational cash flow of over $40 million for this year. Can you elaborate on the development of your cost base in the last quarter? 
Ken Ostreng: All right. Thank you, Amanda. So we will continue, obviously, I carefully manage our cost base and we're confident our operating framework and cost base has the potential to yield even stronger efficiency and we remain committed to continue nimble operations in the quarters to come. The cash flow from operations will be impacted by billing seasonality within the quarter, and timing of payment of receivables due to higher volume of non-credit card sales and regular payment terms across the group to enterprises and school districts. 
Amanda Taselaar: Thank you, Ken. This next question is for Eilert from Petter Kongslie from SB1M. Can you say something about the underlying assumptions on volume versus price increases on the U.S. dollar the $5 million guidance $500 million guidance as compared to where you are today? 
Eilert Hanoa: Thank you. Yes. That's a great question. So since we launched our first commercial plans back in 2018 with a price point of only $10 per user per month, we have continuously enhanced the offering. Now we have price point from $10 to $80 per user on expert users for the corporate segment and we have a similar range of price points from a couple of dollars and up to $20 for schools and educators. Of course, we in addition to that have volume price lists for corporations and for larger organizations. We will continue to both add different sets of value and features in each of these price points. We will also be able to offer more price points, but also more layers of functionality for the existing customers we have. So we do believe that it is possible for us to both keep on a price list consisting on the same kind of price points that you see today, but at the same time continue to move customers slightly upwards on the feature list by introducing new premium value adding more functionality for larger organizations being able to do better integration with other solutions already available such as federated login or -- with Zoom or with Microsoft Teams. And also, of course, extend the use cases from the interactive presentation which is where Kahoot! came from and also add everything from asynchronous training building corporate culture all kinds of information sharing, but also with the feedback loops and reporting that has additional commercial value for corporations to be able to document. So all-in-all, keeping, I would say, attractive price points, slightly but firmly moving more of the value features upwards in the price range and introducing new layers that can be also distributed across the different implementations of the Kahoot! solutions in the organizations today. And same applies of course for School and Home but with -- its different context. Last but not least, we will also then introduce sales of content that can also be an additional driver for more spending, whether it's through our organization such as a school or school districts. We have 10,000 school districts on the Clever platform and of course, to corporate use, but with a long tail of social and personal use as well.
Amanda Taselaar: Thank you, Eilert. This next question is also for you. In 2023, excluding Clever, should invoicing growth be mainly driven by the core Kahoot! platform or by other apps you have acquired? And a follow-up to that, where would you see the biggest risks in 2023 on the Kahoot! side or the Clever side?
Eilert Hanoa: Yes. So that's a great question. I mean, first of all, it's important to point out that the apps that we have acquired are slowly and firmly integrated with the Kahoot! platform. They will be helping us to drive the total growth and the total usage on the Kahoot! platform. A good example is, our assets coming out from the DragonBox acquisition back in 2019. But now also resides on the Kahoot! Platform, regardless whether you have the DragonBox app or not, for making learning awesome, especially for math teachers in K-6. We also have other similar integration projects going when it comes to the great features that are developed in Actimo that can be used on the Kahoot! 360 platform or similar what we are delivering from the Motimate stack today. So all-in-all, it will be a joint project to drive growth across the different assets, some of them will be sold separately. Others will be sold bundling and we will continue to align our investments in R&D across these different teams into the core Kahoot! platform with the services going forward. Last but not least, as also asked here, the Kahoot! side and the Clever side are having slightly different attributes. As Clever is used as mentioned by 10,000 school districts in the US to distribute assets with an opportunity to also introduce the App Store and premium services on top of the current platform and current revenue streams on the Clever side. And on the Kahoot! side we are probably a slightly faster in introducing new functionality and therefore also new commercial opportunities across the different assets that are linked to the Kahoot! platform. So I would say, we have a good balance between speed or velocity and the strength when it comes to platform in order to balance the potential risk in either slowdown or change in consumer behavior in all the different segments we are.
Amanda Taselaar: Thank you. This next question is from Yemi Falana from Goldman Sachs. Corporate learning continues to be an attractive place to be and I found it interesting that you flagged strong landing and expanding within accounts. How much runway do you see here? And is this contingent on the continued tight labor market? Eilert, over to you. 
Eilert Hanoa: Yes, so I would say that we have seen several interesting cases, one from Norway which is NRK and similar to BBC in the UK, that chose Motimate as their solution, not only for learning, but also as a cheaper way to basically implement our LMS light solution for thousands of employees and the corresponding distribution of learning material. That is a good example that comes across when it comes to positioning Kahoot! and together with Actimo Motimate as a low price or in the low end of using enterprise solutions for learning. We have seen that several companies that previously probably would use more money on larger installation, whether it's from consulting or implementation perspective or from a need for CapEx that are now saying that they need to be more nimble when it comes to the solutions. The faster return on investment and also, maybe most importantly, to the tight labor market reference more flexible when it comes to being able to scale up or scale down number of seats you have on the platform. So we do believe that that kind of additional interest is benefiting us but we're also humble for the need we have to do our investment in new features adapting our solutions for the changed customer needs to be able to also be an attractive vendor in the future.
Amanda Taselaar: Thank you, Eilert. We have time for just a few more questions. This one is from Håkon Fuglu from SEB. When should we expect meaningful revenues from Clever in Canada?
Eilert Hanoa: Yes. So, thank you for that. As we didn't go through the business model of Clever on this call, but the main drivers for Clever on the revenue side today is still the app partners that are basically paying Clever to be able to distribute their assets to all schools, whether it's in Canada or in the U.S. So the more schools we're adding in Canada, of course the broader scale and reach for the app partners. And of course it also opens up new opportunities with new app partners that have Canadian schools as their main source of income. So the way we can also generate revenue from schools in Canada on the Clever platform is by providing premium services as we have also started to rollout for schools and school district in U.S. that is everything from identity management to also in bundles and integrations with Google Workspace. We will see more products and bundles from Clever going forward. In addition to that, we will also enable the App Store where any app partner on Clever can offer their apps either for distribution only like today, but also for the opportunity to sell their assets directly to a teacher, or to a school, or a school district, or other admin representatives in that educational institution.
Amanda Taselaar: Thank you, Eilert. We have time for one last question today. And we'll close it out with you Eilert. What are your expectations for 2023?
Eilert Hanoa: Yeah, that's a great question. I mean, first of all, we believe that, 2023 with the lineup we have of products and services that we have talked about on this call with the very experienced team we have of course with the -- starting the year with solid customer base and a good momentum when it comes to the usage. But there are three things that are really differentiating our start of the year versus what we have had before, in addition to the general improved quality of all our products and services and commercial initiatives. And that is that we are getting one step further in providing a complete marketplace that we have been silently rolling out now with -- in a soft launch testing out the mechanics, the content creation, the way to package and protect IP which is so important for our partners the ability to -- which is the first part. The second part is that we are able to build solutions which can be fully white-labeled meaning skin, with the colors and also with integrations for specific partners and customers in the future. And thirdly, that we have the opportunity to use courses which is our way to package Kahoot!'s not just a quiz that we all love. But also with documents, videos, and audio in a very comprehensive way to distribute learning with again with the branding and ability to either sell on the marketplace or just distribute for free internally or externally going forward. So I think that wraps up the most important part of the attributes we have in -- going into 2023. And we also believe that we will be able to build continue to build a strong pipeline of opportunities, increase our partner ecosystem both on the publishing side but also on tech partner side. And hopefully also there will be great opportunities for joint ventures and partnerships in the EdTech industry and also in learning for corporations in 2023.
Amanda Taselaar: Thank you, Eilert for that outlook into 2023. And thank you all so much for joining us today. And thank you for your questions. If we did not get to your question today, please reach out to us. And we hope to see you again soon. Thank you so much.